Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic Fourth Quarter Fiscal Year 2012 Financial Results Question & Answer Session. [Operator Instructions] As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the conference call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin. 
Thurman Case: Thank you and good afternoon. Joining me on today's call is Jason Rhode, Cirrus Logic's President and Chief Executive Officer; and Jeremy Allen, our Director of Investor Relations. 
 Today, we announced our financial results for the fourth quarter fiscal year 2012. The shareholder letter discussing our Q4 financial results, the earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information, along with the webcast of this Q&A session are all available at the company's Investor Relations website at investor.cirrus.com. 
 This call will feature questions from the analysts covering our company, as well as questions submitted to us via e-mail at our investor.relations.com website. 
 Please note that during this session, we may make projections and other forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially from projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. 
 Please refer to the press release issued today, which is available on the Cirrus Logic website and the latest Form 10-K and 10-Q, as well as other corporate filings made with the Securities and Exchange Commission for additional discussion of risk factors that could cause actual results to differ materially from current expectations. 
 Now, I'd like to turn the call over to Jason Rhode, our President and Chief Executive Officer. 
Jason Rhode: Thank you, Thurman. Let me start by saying that we lost a truly visionary leader with the passing of Mike Hackworth and his impact on the company will be felt for many years to come. 
 Before we begin taking questions, I'd like to highlight a few of the things that we discussed in our shareholder letter. We expect to have an outstanding FY '13. And in order to meet expected production cycles in the fall, we expect to roughly double the inventory value on our balance sheet by the end of the June quarter. 
 I'd also like to mention that we are very excited to have begun shipping volume production of our new LED controller. In the March quarter, we shipped 500,000 LED controllers. This is a fantastic start as we continue to build momentum to reach our goal of shipping between 5 million to 10 million units this year. 
 Operator, we are now ready to take questions. 
Operator: [Operator Instructions] Our first question from the line of Tore Svanberg with Stifel, Nicolaus. 
Tore Svanberg: First of all, could you just elaborate a little bit more on what you just said about doubling inventories? It looks like you're, obviously, gearing up for some strong demand in the second half of the year. I was just hoping you could elaborate a little bit more, sort of by product segment, where we should expect the biggest increase? 
Jason Rhode: Well, the biggest is in audio. Obviously, we're building inventory as well as for our Energy business with the new LED lighting controller, et cetera. But the biggest piece of it is in audio and I don't want to get into a whole lot more detail than that. 
Tore Svanberg: Okay. And also in your press release, you talked about 10% year-over-year growth in Q1, so you're sort of expecting a new level of revenues in the September quarter. I know you're not going to give out guidance. But just sort on a qualitative basis, I mean, what exactly are we talking about here, as far as revenue accelerating year-over-year in the September quarter? 
Jason Rhode: Well, I mean let's just say we don't try to get too far out in terms of specific guidance, just because it gets down to in addition to what we are going to do then you get the economy and everything else, and we don't have a very good crystal ball as far as all that is concerned. But if you look at between the inventory build and obviously, whenever we're ramping new products, we like to get a little bit ahead of the ramp. We got to build it before our customers can build it, and they got to do that before they can sell it. So there's a bit of a pipeline there and we like to have some extra in stock, so that we know we can take care of our customers under all circumstances. So that at least puts a pretty good indication that it's fairly meaningful. And on top of that, we continue to hire at a pretty good clip. We're adding expense at a significant rate in the R&D functions in particular. And we think we've got leverage on that for the overall year. So you can kind of -- if you look at the OpEx spending chart, I think is Figure C in the shareholder letter, and just kind of take a straight-line ruler to that. You can kind of get some pretty good expectations for where we might go next year in terms of OpEx. And then if you think about leverage on top of that, that probably gets you moving on the right direction, in terms of the overall revenue. 
Tore Svanberg: Very good. And just from that last topic, the OpEx, I think, you are guiding for about $44 million at the midpoint for the June quarter. Should we assume that the biggest step up to be an R&D then? 
Jason Rhode: Yes. Definitely. 
Tore Svanberg: Okay. And would -- is that sort of going to be sort of the step up for now? Or should we expect some big step ups again in the second half of the year? I'm just trying to see how you level up [ph]. 
Jason Rhode: The difficulty gets to -- for the year, in all seriousness, if you look at the chart on OpEx spending in the shareholder letter and just lay a ruler across the top of it, it will give you a pretty good idea where we're going for the year. On a quarter-on-quarter -- on a quarterly basis, it kind of moves around a lot. Some quarters you get a lot of people to join. Not that many people join right before the holidays, kind of a thing. So it tend to be a little lumpy in the way that headcount expense lays in on a quarterly basis. But from a big picture sense, we are hiring. In the last couple of years, we've hired about 100, 120 people a year. That's about as fast as we've been able to figure out how to hire people. We certainly expect to continue to do that this year. So if you use a reasonable loaded salary number, that kind of gives you a pretty good sense in terms of the headcount expense we're adding for the year. And we expect it to continue to go up a lot. And in the category of nice problems to have, we think that even with that expense going up a lot, we'll still be underspending relative to our targets by the time we get to the end of the year. 
Tore Svanberg: That's very helpful. Last question, you're now, obviously, shipping the LED controller. And I think you've said, historically, that initially you are going to be shipping with sort of one big anchor customer. Have you started to see some design wins outside of that customer? 
Jason Rhode: Yes. It's been a fantastic experience. It's a funny market because everybody in that market has been talking about their products work with dimmers since they started shipping on them. And the plain fact is if you go buy a light bulb on the shelf at the hardware store, they don't work with all the dimmers that are out there. So as we go in, the customers' usual response is like yes, yours works with a dimmer, but that's what everyone says. And then they see our demo and the discussion takes a lot more serious turn. So we've gotten great feedback from everybody that we've talked to. We have had at least one more customer tick over in the design win category, which we've got a fairly precise internal definition of what that means. And by the end of the year, I would certainly expect to have a significantly larger customer and product count. 
Operator: Our next question comes from the line of Vernon Essi with Needham & Company. 
Vernon Essi: In terms of -- going back, I guess, to the inventory question, and you've explained this, I guess, pretty thoroughly so far. But is there anything that you also need to do behind the scenes to facilitate that from a, I mean, before you have made this agreement with STATSChipPAC? Are there any other things you're going to need, in terms of freeing up any potential bottlenecks that we might have to look at the model, in terms of adjusting? I mean, you've got new credit revolvers, any more CapEx that you may have to spend or do any consignment capital spending with your customers? 
Jason Rhode: Yes. It's -- there's definitely some possibilities for additional CapEx. Thus far, the only thing that is really been material enough that we have to talk about it, externally, has been this investment with STATSChipPAC. But obviously our supply-chain planning team has been working all of these issues. It's rare that it's ever as clean as there's one bottleneck in your supply chain and then once you solved that, everything's all smooth sailing. There's lots of things to be concerned about. But one of the benefits we've got in our businesses is that we really do have a fairly good amount of visibility about what's coming towards us. All the products we sell are proprietary, so we are designing them for years in advance of when the customer start shipping them. And we have a pretty good idea of what's coming and so we've had ample time to work through these issues and make sure we are well-positioned in terms of foundry capacity, assembly test capacity, et cetera. But yes, we've had a lot of activity with the assembly and test houses, both to make certain that we're not going to be slowing anybody down. And Thurman, did you have anything you want to add on the CapEx side? 
Thurman Case: No, I mean, with the exception that along the lines of the supply chain, we'll -- we've done that in the past. So we expect it to be opportunistic, in terms of buying and consigning equipment in order to ensure the capacity. 
Jason Rhode: Typically, we really don't like to enter into really big deal kind of agreements. But often, we can work within particular test houses where we'll buy a tester and consign it to their floor. These are the things that are important, but they're not, in any one case, they're not so large that they would rise to the level where we're talking about them on a call in particular. But yes, so... 
Vernon Essi: I mean that's exactly what I was looking for. I mean, obviously, there's not going to be anything. Next quarter, we're not going to hear about investment and the test floor or something along those lines. 
Jason Rhode: No, we're still very, very pleased with our fabulous model and that certainly extends to using our excellent partners for assembly and test. 
Vernon Essi: Okay. And I just want to ask a sort of maybe corner you on a detail here on the headcount. What are you -- sort of would you consider a healthy sales for headcount target on the low end of the range? I mean, obviously, you'd like it to be very high. But just curious in the past, you've sort of bumped into the $600,000 to $700,000 per employee. Would you sort of consider that to be a comfortable range or do you want to see that... 
Jason Rhode: Yes, I think in an ideal world, there's not that many companies that over the long run sustain revenue per employee that is any higher than say 600k, 700k per employee. That's a great number. The model shakes out really well there. And in vague terms, that does tie in pretty well to our 20% R&D, 15% SG&A. And as I say, while we expect to be a bit above that in terms of spending for Q1, we don't have the luxury of managing that on a quarter-by-quarter basis. And by the end of the year, we expect to be pretty significantly underspending relative to that target. So our internal directive to hiring managers and everything else, obviously, we've got a very detailed annual operating plan. We know where we're hiring and what's approved, et cetera. But our instructions to those folks is keep your foot to the floor and let's make sure we're staff up for a success in the future. 
Vernon Essi: And just my last question on the product front, you had highlighted an audio amp that, I guess, enables, speaker protection. Any further elaboration on that product and what it does? And is that -- is there something like that you already have shipping and it's, I guess, something a next generation product? Any more detail on that would be helpful. 
Jason Rhode: Yes. This is something a little bit new and there are a couple of tricky nuances to the product that we're not going to talk about until the thing's out having some success in the market. But essentially, I think, everybody's had the experience with their mobile phone or other devices were just the ring isn't loud enough or the speakers aren't loud enough or that kind of thing. This is an attempt to address that in a very cost-effective fashion. It saves customers a lot of external components. And it's an area where a lot of times people are designing with a certain baseband chipset and a lot of the features are dictated there in terms of audio CODECs, et cetera. So unless the customers are really trying to add value to the audio quality they're reproducing, they may be not willing to go to the expense or the trouble to design in a specific different CODEC. But in terms of the power amp, that's an area where it's a little simpler product to design in. And it's an area where almost everybody, regardless of your view on audio, would like their speakerphone to be a little louder, would like their ringtones to have the option of being a little louder. Maybe much to the chagrin of everybody around them. But having your phone ring in your pocket and not hear it is a frustrating experience, I think we've all had. And the manufacturers that we've talked to are pretty keen on solving that problem and so we think it's a better opportunity for us to get into some additional handset suppliers, tablets, et cetera. 
Operator: Our next question comes from the line of Andrew Huang with Sterne Agee. 
Andrew Huang: Sorry to beat a dead horse. But on your plans to double the inventory at the end of the June quarter, is that for a new product? The only reason I'm asking because is if it is, I was curious if you have all your testing procedures set at STATSChipPAC? 
Jason Rhode: It's for both new and existing. It's a little bit more difficult to answer that question because a lot of times we'll take advantage with existing products, we can go a little further ahead. They're a little more stable and that clears up capacity later down the road for newer stuff. But it's composed of both new and existing. In terms of test procedures, bring out boards, manufacturing, all that kind of thing, that's a work in progress. It's something actually, it turns out you're never done. Because we're always driving improvements either in test coverage or test time or whatnot. But we've got a very well-thought-out detailed plan for how we support all of our new product ramps, and we're just marching to that plan, so. 
Andrew Huang: Okay, great. When I kind of went through your shareholder letter, which I find very helpful by the way, so thanks for that. When I looked -- I think in the last shareholder letter, you had a section to kind of talk about your new design wins. And like how much of revenue that accounts for. So do you have an update to that slide or did I miss it? 
Jason Rhode: We didn't put it in this one. It's not for any particular reason. It just wasn't anything we had. We had it in there, initial draft, and we don't really have anything to say about. It is, I think, in the investor presentation that will be on the website. If you want to see that, it's in the investor presentation. There is a couple of products that moved, probably the only story I would say on that is a couple of pretty significant products for us moved from new to prime, which is actually a good thing that they've got enough longevity to continue shipping in that kind of volume for 3 years. So that's the only, if you see new dip down you need to look at it close enough to realize that prime picked up by a pretty significant percentage as well. So then we would expect a percentage of in the new category to go back up, a pretty significant clip towards the second half this year. 
Andrew Huang: Got it. Okay. Sorry, and I think -- energy products, it looks like it had a pretty good rebound this quarter. And I know that some of it was you said, I think, 500,000 units for LED controllers, LED lighting controllers. So how much of that is kind of a rebound in your legacy business? And do you expect that strength to kind of continue into the June quarter? 
Jason Rhode: Yes, Q4 was up pretty good in some of the legacy seismic other old energy areas. Q1, we do not expect that to -- yes, we don't expect that to continue. It's kind of onetime buy. We really try, especially with seismic, it's very difficult business to forecast. So unless something's on backlog, we like to call it 0. And then when something comes in that is -- even sometimes when it's expected, then it's a positive surprise. Customers in that space are -- well, they're just very difficult to figure out. And often times, their forecast are wrong. So we'd like to not count on it until it actually happens. 
Andrew Huang: Got it. But -- is it reasonable for me to assume that your LED controller ramp or drivers should continue to ramp in the June quarter? 
Jason Rhode: Yes, it's continuing to ramp. I wouldn't expect it to be up massive unit volumes in the June quarter. But the most important thing there is that the design win momentum is continuing and we are continuing to go through qualifications, et cetera, to other customers and other platforms within the same customer. 
Andrew Huang: Okay. And just one last question, if you don't mind, your gross margin guidance of, I think, 53% to 55%, that's down quite a bit relative to the March quarter, so if you could give us some color there, that would be helpful. 
Jason Rhode: Yes. The color mainly is that we shipped a fair amount of seismic in the March quarter. And then also we had a pretty significant shipment of previously reserved products that we're able to reclaim at test, so that obviously ships out at a significantly higher margin. So those were kind of 2 bluebirds. Bluebirds isn't giving our people enough credit. A lot of people worked very, very hard on it, especially on that reserved product shipment to make sure we are able to reclaim really good quality product to ship to the customer. But anyway, it was kind of a onetime benefit that we had that quarter. And again, we don't see anything taking us away from our kind of mid-50% range target. But I would encourage everybody to not get too hung about 1% or 2%, up or down, on a given quarter. Our business is just it's not that precise. It can move that much based on mix pretty easily. 
Andrew Huang: Okay, and sorry I have one more. I think you mentioned in your press release that you revalued your deferred tax asset. So does that affect how much you have in NOL carryforwards at this point or maybe you could just give me that number if you have it? 
Jason Rhode: Well, relative to the federal NOLs, this puts them all on the balance sheet as a TTA. 
Operator: Our next question is from the line of Jeff Schreiner with Capstone Investments. 
Jeffrey Schreiner: Jason, Thurman, whichever would like to handle this. Typically you have some seasonality in the second half with the business kind of building up and then seeing somewhat of either a plateau or slowing down in December and into the March quarter. Given the language used in the shareholder letter about expectations falling in the June quarter, should we expect some type of change in normal second half seasonality? 
Jason Rhode: Well, I think, looking at this as a seasonal story is maybe not quite or -- I think to the large part where new product introduction kind of a story, a product cycle story and then actually last year, our December quarter was a record revenue for us. So the fall is a lot of times is very difficult to call in terms of the split between Q2 and Q3 because of a change in timing of even a few weeks relative to a Christmas ramp, that September, October kind of a boundary is right on when people are trying to build a lot of products to ship for Christmas. And a change of just a few weeks can have a pretty big difference. And we spent a lot of time talking about that last year that what we were, at the time, modeling as a big Q3 could pull into Q2, et cetera. And at any rate, we expect to transition to a pretty significantly higher revenue or run rate starting in the September quarter. We expect, obviously, very good things in the December quarter as well. Currently, we are modeling Q3 to be higher, the December quarter to be higher than the September quarter like it was last year. Stranger things have happened than some of that pulling in and bumping up the September quarter. 
Jeffrey Schreiner: And then you discussed in the shareholder letter about expansion, I think you might even used the word significant, but I don't want to get it wrong here. But expansion in custom product portfolio, could you kind of just elaborate on that and why that matters? Is it a shift from more standalone to where you are finally finding some integration opportunities or what can you tell us about that, Jason? 
Jason Rhode: Well, it's just another reference to what we've been talking about. I think since even the October -- the October, November, they call them, October timeframe, where we talked about we had 6 new custom products in development. Typically, in the past, we have had something in the order of 1 or 2, so it's quite a big increase. And those same products are moving through the pipeline. And as we said at that time, hopefully, gone to production and driving a significant amount of revenue for us this year. And that effort is continuing. We got new products coming behind those. We are continuing to build that custom product portfolio. And significant, the reason that we highlight the significance of the custom stuff is when we look at our business, when we're able to partner up with one of our customers, whether it's in the audio or the energy space, when we're able to partner with them at the level where they're investing time to help us figure out what exactly what they would like us to build, investing their engineering time in it as well, it's a much more -- it's a much higher probability that those products really go to production and really see their full potential. So that's really the reason we highlight the fact that the custom products are growing. That is a fundamental part of our strategy is to partner with customers that are really differentiating on our technology enough that they're willing to invest the time and making sure we get it right for them. Now I will take a second to highlight just in case there's any confusion about it. Just because something's custom doesn't necessarily mean it's exclusive to them. In many cases, it is. But in many cases, for example, say the customers -- a lot of time there are some very smart customers that don't have actually a lot of volume. And so in some cases, we partner with them and develop a custom product to their spec that we can either directly sell to other customers or maybe after some period of time we're able to sell it to other people, et cetera. So pretty much when you think about our custom business, all manner of different arrangements are in there. But the main takeaway is that when we talk about something that's custom, it's something we are receiving really critical key specs from the customer, designing it to their needs and that's a very good time that we're investing our R&D dollars well. 
Jeffrey Schreiner: Okay. Last question for me, you talked about being in full production, having some key products, I believe, for multiple new products for both new and existing customers. Could you talk about where the new customers will come from outside of the LED? 
Jason Rhode: Well, the biggest area that we expect to see that kind of customer base growth is in LED. That said, the new audio amp that we talked about has, of course, that product is at fab. So we don't like to declare design wins before we actually get the thing back from the foundry. But there's a lot of potential for them and there's a lot of new names that we've not had discussions with in the past that are looking at that device. So portable audio and LED lighting, and I should mention that the DSP that we've talked about in the past that's continued to get momentum, in particular, we've got some additional design wins in Japan. It's again -- that type of business is kind of something we got to build one brick at a time, but signs are definitely pointing, that's going to be a good business for us. 
Operator: Our next question comes from the line of Rick Schafer with Oppenheimer. 
Shawn Simmons: This is Shawn Simmons calling in for Rick. Most of my questions have been asked, but I just want to get a little bit more clarity on gross margins going forward. Obviously, you guys are seeing a nice step up in the back half here in revenues and it's probably going to be more focused on your portable audio side. Can you just talk a little bit about what you're doing there, whether it's on the back end or wafer pricing? Any sense to possibly lift margins in that business or keep them relatively stable, or what exactly are you guys doing there? 
Jason Rhode: Well, really overall for margins, I think, we've said all about we'll say on that as that we expect them to remain in the mid-50s, and I wouldn't get too hung up about a point up or down in any event. It's a challenging world. Customers have very strong expectations for price reductions. That is not new, despite what is always entertaining to read in the press about how this customer or that customer suddenly woke up and decided to focus on their supplier's pricing. It turns out they've been focused on it for a while. So it's nothing really all that new for us. We just keep working on it hard. We try to leverage the volume that we're driving with our wafer price vendors or with our wafer vendors rather, assembly and test, et cetera. Obviously, we're more able to enter into a significant volume purchase agreements with folks that can have some positive impacts. But it is just -- it's really about a lot of details. A good engineer spending a lot of time working on a test program to dial down the number of minutes it takes to test a wafer. It can have a meaningful impact with the kind of volumes we're talking about. So we try to work at all the little things. And in the end, it adds up to some pretty good results. But like I said, I don't expect us to drift too far off the mid-50s. 
Shawn Simmons: Okay, great. And then, I guess, just focusing back on that second half ramp. Can you, I guess, just talk a little bit about what you're doing with ASPs in portable audio? Are you guys starting to increase functionality there, maintaining ASPs? Any color would be great. 
Jason Rhode: Well, we've been able in portable audio to increase ASPs, over time, very successfully. The nice thing about portable audio is that the volumes are pretty high. The design cycles are short and that gives us the opportunity to continue to refresh the product line, either to include new functionality or to help our customers eliminate external components or incorporate them in our device. And you can track the -- well, we obviously track in detail the ASP, overall, for that product line and it's gone up since we started it pretty significantly. And we think there's more opportunity in front of us to continue to do that. 
Shawn Simmons: Okay, great. And then, I guess, my last question just going back on the new amplifier product that you're talking about, I guess, would you guys be targeting kind of high-end smartphones, mid-tier smartphones? I mean who do you think is going to be someone to adopt that type of solution? 
Jason Rhode: I think it's a little more random than that from a what type of SKU that it falls into. Obviously, we wouldn't expect to be in the absolute bottom of the very low-cost phones. But I don't know that there's any margin to be had there anyway. But really it's a different kind of dynamic when you talk about amps. Because, again, it doesn't matter whether you got the fancy data plan or anything else, you still want to be able to hear your phone ring in your back pocket or in your purse. So for customers that are trying to do something a little bit different and have it be a relatively easy designing process where they can try it out and see if anybody salutes. It's a little more random cross-section through the customer base. So there's some -- I would say, some folks that are interested in it that are at multiple parts of the spectrum there. 
Operator: [Operator Instructions] And our next question is from the line of Chris Longiaru with Sidoti & Company. 
Christopher Longiaru: A couple of questions. First, you talk a lot about that LED market. You said, you were working, specifically, with one large customer. Is that still the case that are multiple customers now on the horizon? And also, this contribution you saw in this quarter was that one customer or several customers? 
Jason Rhode: The contribution this quarter is one customer. We've now got something in what, internally, we tracked as the official design win, but we don't talk too much about that externally because it's in all sorts of specifics and every company uses different metrics for what they call a design win. Ours is pretty conservative as you might imagine. But anyway, we officially do have something that we call, internally, another design win. We're working with multiple customers at this point and on multiple different SKUs. The lighting market, unlike some of the other markets we're in, the lighting market is very, very fragmented. There's multiple -- quite a few suppliers that matter in the lighting market and each one of those has potentially 100 some-odd SKUs that you can penetrate over time. So our focus is try to get in with some of the bigger guys, make sure that we penetrate a SKU or 2 that is really going to move the needle and have some significant volume and then hopefully they'll have a real good experience with us and get some good reviews and feedback on their product, and then rapidly design in across the board. But it is an area that even when we do real well with the customer, would take a while for it to penetrate our whole product line. But we think our opportunities to do that are really, really good. We're feeling very good about the investments we've made in LED lighting. 
Christopher Longiaru: And just from a timing perspective then, I mean, part of that big September ramp that you're expecting I imagine is a ramp with the customer you're already shipping to, when would a second shipment or additional customer kind of start to add to that? What's the timeframe on your penetration of that market? 
Jason Rhode: We expect to ship to multiple customers in the LED lighting space this year. Yes, no, it's actually quite a technically challenging design-in process. Anytime you get into power electronics and inductors, you got a lot of issues to be concerned with a light bulb. But once the design is done, obviously, it's -- at the terminals, it's a fairly simple product. It's got 2 pins and light's coming out. It's not anywhere near as complicated from the end-user experience as the innards of the bulb would imply. So the qualification cycle, while it is detailed and rigorous, it's not quite as long as it might be for some of the portable audio devices for example. So we think we've got some very good opportunities to have multiple customers and multiple products hitting the shelves in the fall. 
Christopher Longiaru: Okay. And then the last question I have is just on the tax rate. What do you expect the tax rate to kind of be going forward after this adjustment you've taken? 
Jason Rhode: I think cash tax for the year is still kind of in the 5%. 
Thurman Case: They are going to be around 3% to 4% on cash taxes. And the -- you can still look at a 35% tax rate on the GAAP tax calculation. That is a noncash number. 
Operator: And our next question is a follow-up question from the line of Andrew Huang with Sterne Agee. 
Andrew Huang: I just wanted to ask a little bit more about LED lighting, and it seems like you're right now focused on LED lamps or light bulbs as they call them. I was just curious about -- on the luminaire side because on the luminaire side, they still need drivers as well. And I was just wondering what your plans are for that segment of the market? 
Jason Rhode: Well, there's nothing that would stop somebody from using one of our devices in a luminaire. We are focused on the lamps or bulbs rather segment just because we think it's going to grow faster, it's going to be a higher percentage of the market in the long run and we're going to take share there while the market's still new. Additionally, one of the things that makes the lamps such a difficult challenge is the space constraint. You don't have that quite so much in the luminaire market. But that said, we do expect to win some luminaires along the way, we're just a little bit more focused on the lamps and bulbs at the moment. 
Operator: And gentlemen, I'm showing no further audio questions at this time. 
Jeremy Allen: Great. Well, this is Jeremy Allen. Just we have one question written in that we'd like to address that wasn't already address on the call today. And that related to a recently announced booster amp from our Apex Precision Power line out of Tucson. Jason, if you can just elaborate on that part what it does and then the market effects. 
Jason Rhode: Sure. Essentially, it's a very high-power, high slew [ph] rate amplifier. The markets for that are semi-cap equipment, test equipment, things like that. As you might imagine for that market, it's not the highest volume segment, but the ASPs are quite high. So in total, this is a product that's more in the base hit kind of a category. I wouldn't expect it to be something that you see headlines about in the financials for us, but we recognize that our press releases have multiple constituencies. And this one, I would say is targeted more on to customer base than the investor base but nevertheless, it's a great product and a good effort from the folks out in Tucson. 
 All right. I think that's all the questions we have. I'd like to thank everyone for the questions today. And if you have any questions that were not addressed, you can submit them to us via our investor website at investor.relations@cirrus.com. Let me close by saying that Q4 was another good quarter for our company, both in terms of financial performance, as well as engineering performance. With a variety of new audio and energy products ramping into full production later this year, we expect a sharp transition to a higher level revenue during fiscal 2013. In short, we are very excited about our outlook. 
Operator: Thank you, sir. Ladies and gentlemen, if you'd like to listen to a replay of today's conference, please dial 1 (800) 406-7325  or (303) 590-3030 using the access code of 4531962 followed by the # key. This does conclude the Cirrus Logic Fourth Quarter Fiscal 2012 conference call. Thank you very much for your participation and you may now disconnect.